Deepak Dutt: Good day, everybody and welcome to our earnings call for the second quarter of 2018. I'm joined today by Charlie Ergen, our Chairman; Mike Dugan, our CEO; Dave Rayner, COO and CFO; Pradman Kaul, President of Hughes; Anders Johnson, Chief Strategy Officer and President of EchoStar Satellite Services; and Joe Torres, Associate General Counsel. As usual, we invite the media to participate in listen-only mode on the call and ask that you not identify participants or their firms in your report. We also do not allow audio recording, which we ask that you respect. Let me now this over to Joe for the Safe Harbor disclosure. Joe?
Joe Torres: Thank you, Deepak. All statements we make during this call, other than statements of historical facts, constitute forward-looking statements that involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by those forward-looking statements. For a list of those factors and risks, please refer to our Annual Report on Form 10-K and quarterly report on Form 10-Q filed with the SEC. All cautionary statements we make during the call should be understood as being applicable to any forward-looking statements we make wherever they appear. You should carefully consider the risks described in our report and should not place any undue reliance on any forward-looking statements. We assume no responsibility for updating any forward-looking statements. I'll now turn the call over to Mike Dugan.
Mike Dugan: Thank you, Joe. Good morning, everyone, and welcome to our earnings call. First I want to apologize we have technical difficulties when we host the call and the call is okay for you guys. We did have a solid second quarter once again our two business segments Hughes and ESS in aggregate generated double-digit revenue and EBITDA growth in Q2 '18 over the same quarter last year. Let me now turn it over Anders Johnson and Pradman Kaul who will talk about their segments followed by David Rayner for the quarter financial overview. Will close as usual with questions-and-answers. So here is Anders.
Anders Johnson: Thanks, Mike good morning. ESS revenue for the quarter was 95 million compared to 98 million last year. EBITDA was 82 million versus 80 million last year. Our fixed satellite services capacity businesses is encountering some of the same pressure on KU band transponder rates that has been expressed by other operators and for the remainder of 2018, we expect to see pressure on rates for U.S. government service opportunities as well. For our commercial FSS business, including our enterprise, media and broadcast and mobility customers, we also expect the difficult environment for the remainder of the year. Second quarter sales include the extension of services by one of our in-flight entertainment, aeronautical customers on EchoStar 105. Dish terminated the lease of EchoStar 7 at the end of June 2018. In addition, they terminated 4 KU band transponders on EchoStar nine, effective May 1, 2018. These will result in a negative impact on our revenue going forward. Now on to developments with our EchoStar mobile business. EML has placed MOUs has MOUs in place for distribution of MSS enabled services in the EU, with a few major European communications companies. We are also conducting technical discussions with a number of potential partners to broaden EML's distribution base throughout the EU. In addition to these discussions the EML team is excited about our pipeline of new applications and products for end-to-end and IoT services throughout Europe. I’ll now turn it over to Pradman.
Pradman Kaul: Thank you Anders. First of all I’m delighted to inform you that our K-band hosted payload on Telesat T19 which we refer to as 63 West was successfully launched in July 22. Over the next few weeks we will complete in-orbit and system testing to bring the capacity online in the fourth quarter of 2018. 63 West provides additional coverage capacity for our HughesNet services in Brazil and Columbia and will enable us to open new markets for HughesNet in Peru, Ecuador, and Chile. We intend to use this capacity for consumer enterprise cellular backhaul and community WiFi solutions and are targeting service commencement in Peru in the fourth quarter followed by other countries thereafter. We continue to consolidate our position as a number one broadband and satellite internet provider worldwide, that the largest fleet of high throughput satellite assets in the world. Our Jupiter 3 satellite is currently in the construction with an anticipated in service target of 2021. The design and development of the satellite is proceeding satisfactorily. It will have significant additional capacity enabling us to offer over 100 Megabits of download speeds to the consumer. A few words before I get into our performance for the second quarter. We run our business with the primary objective of growing revenue and earnings. We do track and measure ourselves against several other supporting metrics but top and bottom line growth are our overwriting goals. We have achieved both goals handily in the first six months of this year. Despite FX headwinds in Brazil we grew revenue 18% and EBITDA 38% in the second quarter over the same quarter last year continuing a trend that has resulted in revenue being up 20% and EBITDA up 37% for 2018 through June 30 over the same period last year. We delivered these results while growing our subscriber base across multiple geographies and satellites. These exciting results are primarily driven by our growing high margins consumer business where since we launched our gen 5 services in the U.S. last year we increased ARPU by 16% and decreased churn by 20% in the North American consumer business leading great path to the financial results I just mentioned. In our enterprise business we received major new orders from Global Eagle, IGT, T.J.Maxx ConocoPhillips, Thales, American General, Yum! Brands, Baker Hughes, PSN Indonesia, Oi Brazil and TSI Canada. Also noteworthy were new orders from Save Mart for digital signages at their 200 plus locations, and from Bank Rakyat Indonesia for our Jupiter system to power and enterprise-grade band connecting tens of thousands of banking sites. Our enterprise business continues to deliver steady growth providing us with a strong order of backlog going forward. Another exciting opportunity for us is in cellular backhaul and community Wi-Fi. To date we have provided equipment for over 10,000 cellular backhaul sites across Africa, Asia and Latin America. Northern Sky research estimates that there are over 45,000 satellite based cellular backhaul sites currently in service and project this will triple by 2022. Community Wi-Fi is well and operator uses Wi-Fi access points to enable Internet access to the consumer today, we and our partners have deployed over 20,000 hotspots for community Wi-Fi in Mexico, Russia and Brazil. These fast-growing opportunities are an important part of our growth strategy in the enterprise sector. We also continue to expand our presence in the aeronautical Wi-Fi business with our partners Global Eagle, SES and Talus. Our technology is used on over 900 aircrafts and we recently completed the installation of the first network based on our Jupiter aero technology for Global Eagle. We also signed an extension for the operation of the network of Global Eagle and received an additional initial order from Talus to support Spirit Airlines. So in conclusion, we had another very strong quarter and I'm looking forward to continued growth in revenue and profitability. Let me now hand it over to Dave.
Dave Rayner : Thank you, Pradman. Consolidated revenue in the second quarter was 526 million a growth of 13% over the same period last year, driven primarily by Hughes revenue growth. EBITDA in the quarter was $286 million, an increase of 55% over the last year, driven primarily by the higher revenue margin at Hughes and unrealized gain on our investments. Without the investment gains EBITDA would have been $220 million, an increase of 19% over the last year. Net income from continuing operations was 77.7 million in Q2, compared to 6.6 million last year, driven primarily by the higher EBITDA. Capital expenditures in the quarter were 120 million with satellite related spending and consumer CPE being the biggest components. Free cash flow, which we define as EBITDA minus CapEx increased in the quarter to 166 million from 57 million last year, as a result of a higher EBITDA and lower CapEx. Turning to the segments Hughes revenue in Q2 was 426 million, an 18% increase over year-over-year driven primarily by growth in Hughes consumer service, partially offset by a reduction in equipment sales. Hughes EBITDA in Q2 was $152 million 38% growth over last year primarily from the revenue and gross margin growth, offset partially by higher sales and marketing costs associated with Hughes net consumer service as well as exchange-rate losses. Since launching Jupiter II at the end of the first quarter last year, Hughes quarterly revenue and EBITDA have increased by $97 million and $51 million, respectively, primarily a result of services related to the satellite. ESS revenue was $95 million, down 3% in Q2, compared to the same quarter last year primarily due to termination of the Echo 12 lease with Dish last year and reduced capacity usage by Dish on Echo 9 and 10, offset partially by an increased revenue and EchoStar 105. EBITDA was up 2.5%, driven by the AMC-15 lease termination in December offset partially by the revenue reduction. Corporate and other EBITDA in Q2 was $51 million compared to a negative $5.6 million last year, primarily from the unrealized gains on strategic investments as well as the settlement with the vendor offset partially by a decrease in earnings of unconsolidated affiliates and exchange rate losses. Our balance sheet continues to be very strong with $3.4 billion of cash and marketable securities and less than $200 million of net debt, inclusive of capital leases. All in all a very positive financial quarter. Let me now turn it back over to Mike.
Mike Dugan: Thank you Dave. Again I think we have summarized everything to the best of our ability for you. I think it was a strong quarter but we have got a lot of work to do as always. I hope this conference call works correctly now, so I’m going to turn it back over the operator to start our question and answer session.
Operator: [Operator Instructions] The first question comes from the line Mr. Ric Prentiss from Raymond James. Mr. Prentiss you may ask your question.
Ric Prentiss: Aware of Charlie being on the call. thank for joining us today. Charlie on the Dish call last week you talked about the narrowband IoT network $0.5 billion to $1 billion and then ultimately move into the 5G networks that I think at the Tower show you said might cost 10 billion and a focus that Dish on debt maturities the question we get a lot on the EchoStar side of things is, is there a need or desire for the EchoStar really great business and great balance sheet to help Dish out? So how do you think about Dish and EchoStar and how that might need to cooperate?
Charlie Ergen: I don’t think any differently when we talked about it for a long time. I think they cooperate already, that I think the businesses are run completely different, so they have independent boards that look at their company what's best for their particular company and that they'll continue to do. I think the one thing that going forward is obviously I think both companies are in the connectivity business. Dish is primarily in the United States but satellite obviously you have the ability to be in the connectivity business around the world. So as you look at things like IoT and things like that I think that's opportunity and certainly I encourage EchoStar and look at those kind of opportunities that might connect new satellite and where we see things going in terms of connecting that world which we obviously particular at Hughes, do a pretty good job of today.
Ric Prentiss: So we have the business swap like a year and a half ago with the set-top box business for the Hughes exchange. Is there any thought that anything needs to happen in the next year or two as far as any other movement of asset between the two companies?
Charlie Ergen: I think the boards always look at those things but I think that the major assets -- satellites kind of go together and engineering can ultimately with set top box not being a particularly growth business obviously was opportune with EchoStar to move in different directions but satellite need to go together.
Ric Prentiss: And my final question is, also, on the Dish call last week, you mentioned how given the balance sheet Dish was probably not going to be a material player in some of the upcoming auctions in the United States. Should we think about EchoStar looking to participate in the auctions in the United States or elsewhere is it really EchoStar we should think of that more as being your global play?
Charlie Ergen: Well I don’t know if that's actually part of your question really guides to EchoStar where they going discuss within auctions with the I know that they had looked at CAF auction at EchoStar so I think they have looked at auctions from time to time and so that might be aplace that they should look but you'd have to ask them that I don’t know Mike whether you want to add anything to that, I don’t know.
Mike Dugan: Well obviously I think that the type of auction that EchoStar is interested in is that CAF auctions we've just we looked at and also I think or -- I don't know exactly what auctions Dish may be looking at going in the future but we certainly have the balance sheet to allow us to participate in things we'll just have to see what aligns with the current business structure at EchoStar. But we are always interested in opportunities like that.
Operator: Your next question comes from the line of Jason Bazinet from Citi. Sir you may ask your question.
Jason Bazinet: I just had a question on the consumer broadband business because most of the companies I think all of the companies don't really give a SAC or a churn number it’s pretty hard for us to sort of figure out if the business creates sort of economic value in other words, right about the time when you think you generate cash flow. You guys launch another NexGen satellite, what would you suggest for investors that they could look at and the math they could do to sort of confirm that there's economic value that goes with a lot of the satellite launches and subsequent subscriber growth because we don't really see the free cash is the reason I ask?
Mike Dugan: I think one of things you need to look at it, is certainly the EBITDA growth the piece of the SAC does go on to the balance sheet in the form of CapEx principally to CPE which is then obviously amortized overtime, but as I mentioned I mean we've seen on an annualized basis $200 million worth of EBITDA growth at Hughes after we launched the service last year and so that goes a long way towards the economic return there were seeing on the investments. But you're right, we are in a growth mode and periodically were launching new satellites and the building of those satellites does consume the free cash flow coming off the existing business, but we're quite confident that those investments are returning very, very adequate returns I'm not going to get into the specifics of where our model is but certainly adequate returns well above any cost of money that we would ever incur.
Operator: Your next question comes from the line of Mr. Chris Quilty from Quilty Analytics. Sir, you may ask your question.
Chris Quilty : Thanks, I wanted to have a follow-up question on the inflight connectivity business. I think this is the first time you'd mentioned that you'll be working with Talus on West Jet as a customer, presumably that means you will be using your Jupiter capacity to fulfill that contract until SES 17 is launched in a couple of years and then at what point -- at that point is it fair to assume a a transition over to that satellite?
Pradman Kaul: Yes, you are right. We are using the Jupiter capacity and there are no plans to move them back to SES17. The traffic will continue to grow and they may move new planes onto SES17 when is available. But currently we are going to use Jupiter for that application.
Chris Quilty: But that's assuming of course that Talus is successful in winning back some customers, which they basically lost most of their existing customers to date. And at this point you have got overlapping satellites with same frequency same coverage patterns. Does that create in a way a competitor in the IFC market for you?
Pradman Kaul: Well, remember we are not in the in-cabin market, right? We're providing connectivity from the plane to the internet. So there is really no conflict there, directly between the two networks. They are just two different networks that will continue to operate separately.
Chris Quilty: And I guess a question for Charlie I mean obviously you mentioned that EchoStar is more focused on the satellite into the business does that mean that you might be interested at some point, in divesting your satellite assets, and presumably EchoStar would not be a buyer for those assets since they just swapped half of the fleet back to you?
Charlie Ergen: I’m not sure I understand your question.
Mike Dugan: Chris are you are talking about the Dish satellites.
Chris Quilty: From the Dish side of the equation.
Mike Dugan: I think that Dish looks at their balance sheet and their business plans from time to time and if there is tweaks to be made if there's bonds and ventures and tax issues and things like that and where they are utilizing the satellite I think they make decisions based on taxes cash flows and long-term decisions I think EchoStar does the same thing. I think from time to time we have bought assets or shared assets on both companies. But that’s something -- every day you wake up you have a theory about what you do in business and you test that theory everyday and if something changes you need to be as management you need to be able to change quickly with that and not being concrete in a particular business plan if things change. Fortunately, for the most part at least my experience has been the most of our long-term plans have been pretty on point and they haven’t changed that much. It's more that the industry is kind of caught up with our thinking and moved in some of the directions that we are having. In satellite I’ll say that I think our thinking is evolving now as LEOs and MEOs suddenly become more and smaller satellites become more of the satellite equation from the takeover some of the market share from geosynchronous. And geosynchronous have gone to high-throughput satellites where Hughes is one of the world's leaders. I think that our thinking evolves on those lines, for sure, and whether there is opportunity in terms of growth in those areas.
Chris Quilty: Understand, and one final question both companies Dish and EchoStar have somewhat complementary S band spectrum different use cases in different geographies. Is there an opportunity to use that spectrum in a complementary way?
Mike Dugan: Perhaps with some creativity you can do that and there might be ways you could do that but there are different geographies they are both there are somewhere into they're both geosynchronous satellite but they are different geographies so they cover different areas, so I think that S band is good valuable spectrum and maybe there's things creatively you can do to build an ecosystem around S band that's maybe not there today, but that'd being pretty tough -- that would be pretty tough to do given regulatory.
Operator: Your next question comes from the line of Mr. Giles Thorne from Jefferies. Sir, you may ask your question.
Giles Thorne : I have three questions. First, question was for Charlie and then second one -- couple of questions for Pradman, I would be interested to hear the extent to which Inmarsat's participation in the Ligado situation was part of your thinking around the Inmarsat approach. And then the second two questions for Pradman comes to investments potential investments in the year. The first one is ISRO in India's has now basically signaled that it wants to make India a national market for the exclusion of all commercial satcom, so if you see that as an area for investment that's now off the table. And the second question was at SCS you've been quite clear in the Row 3B and power investments, but have the rights within the contract with Boeing to direct the set of assets to a third party and at the same time people also spoken about MPower being a much more holistic system whether deeper level of integration between the ground segment the antenna, the modem and the space segment. And it feels like you are an obvious candidate to co-investing around MPower and have you ever thought about that?
Charlie Ergen: This is Charlie, I know the question was about Inmarsat I didn't understand the specific question about so maybe I'll just answer the question generally did you was there a specific part of Inmarsat. [Multiple Speakers]
Giles Thorne: It would be interesting to hear you talking generally about the Inmarsat situation and the specifics of the questions it was how much was Inmarsat involved with Legado through the corporation agreement part of your rational for the approach?
Mike Dugan: Well, the corporation agreement Charles?
Charlie Ergen: Okay, the specific question is I don’t know I'm not going to -- I don’t know what the corporate maybe I didn't hear the question.
Mike Dugan: Was that related to Legado?
Giles Thorne: Yes.
Mike Dugan: Sorry Giles, you're really jumbled.
Giles Thorne: Yeah, the coffee is not very good so apologize.
Mike Dugan: The first is Legado is only one part of Inmarsat obviously and we don't have any more insight into that then what's public, obviously potentially some we saw there was some potential value in the contracts should Legado get their approvals and if not, they are still probably some value if the spectrum reverted back to Inmarsat there is probably still some value so we valued some portion of that in our probably more than The Street gave, those investors gave Inmarsat. The Inmarsat bid was one where we saw a little bit more synergy maybe than analysts do between the companies both in connectivity, both in satellites, both in and we have different frequencies, we don't really compete. Their technology I believe would benefit from Hughes technology. I think their systems would be well served and some of the things that Hughes has going on from both their ground and space segment certainly there's things like we both have S-band in Europe. We have some of the lowest cost cave and capacity brands life over North America Inmarsat obviously with global express has very good global coverage, but capacity constrained. So all things that make some sense we like the management team at Inmarsat we've known that company for a long period of time so that’s a good company. The UK takeover laws unfortunately required our discussions to become public. Normally we have those kinds of discussions in private if companies can find a way to put some assets together, work together, we typically like to do that in private. Many times companies have honest disagreements as to valuations and so things don't happen but at least it’s not in the public eye. I think that was probably detrimental to the public nature, that was probably detrimental but we made a real offer with 40% premium over 40% premium to where Inmarsat had been trading on an average basis. It was further complicated by the convertible stock that has a high premium take that that can take so there was another it really -- when you can take that in consideration is really more than 50% offer to where Inmarsat had been trading. So it was a aggressive offer from our perspective, but not enough. We don't have the inside information that Inmarsat management has and obviously when they look at the value of their company with the knowledge that they have they still felt that was an inadequate offer to allow due diligence. On the other side of the coin Inmarsat shareholders would have got a piece of EchoStar which we thought if they went through due diligence they would be pleasantly surprised us to the value they would be getting here. So we thought there might be something there. Turned out there wasn't in terms of the value that we believe, based on the information we had the value of Inmarsat, but that really haven’t any inside information there. So that was the thought process. We look at the total company was nothing specific about Inmarsat but the entire company was attractive and we thought what they've done is management team was good. We think the way they position themselves strategically is good. We still think highly of Inmarsat and we hope that there's things -- outside of putting the companies together hopefully there is things we can do together for the benefit both our companies.
Charlie Ergen: And Pradman you want to address a bit.
Pradman Kaul: Yes, because again of the problem with the line, I couldn’t hear the question would you mind repeating the questions?
Giles Thorne: The two follow up questions putting them much more succinctly. ISRO in India has decided to make India a national market. So it will be a market served solely by Indian owned satellites to the exclusion of all the commercial operators. So does that close the door? And the second question was would you invest in O3BM power?
Pradman Kaul: Okay, let's talk about India first. The domestic national telecom policy requires an Indian owned satellite for any satellite to be used in India. And our premise always has been that we would if were successful in getting all the regulatory permissions we would be an Indian satellite and would meet that requirement and we've been pursuing that for the last few years and continue to pursue that and hopefully one of these days we'll succeed. But that's under new policy that's been there for over 9 years or 10 years. On the investment in MPower that's something as I think Dave and Mike have mentioned number of times we constantly look at opportunities and I'm sure that's one of the opportunities that the -- in the normal scheme of things we have a business development organization that looks at that.
Operator: Your next question comes from the line of Mr. Arun Seshadri from Credit Suisse. Sir, you may ask your question.
Arun Seshadri : Yes, hi, thanks for taking my question. A couple of things from me. First, in terms of subscribers net adds in the quarter, just how satisfied were you generally? And if you could give us some color in terms of the makeup of the net adds and where you see net adds going in the near term?
Pradman Kaul: As our satellites fill-up and the beams fill-up our gross and net adds will flatten out. But as we mentioned earlier in the call our focus is to grow revenues and grow EBITDA, and we are doing I think we are achieving good results in that and I think going forward we will continue to show good growth in revenue and EBITDA and that's what we will focus on. The net subscribers will probably continue to flatten out in the next few quarters again because most of our high fill beams are filling up.
Arun Seshadri : Got it. Understood. And then as far as uses of cash, you discussed this in prior calls, you obviously have near-term debt maturities. Are you -- I mean, I guess, should we think about the base case being that you use cash on hand to retire the 2019 maturities? And then separately, potentially, a question for Charlie is in terms of the ownership, do you continue to own the converts and the equity of Inmarsat? And sort of what is your thought on that near term?
Charlie Ergen: Let me take the first half of that question in terms of the maturities we've got maturity about 10 months out at this point $990 million and our intent at this point would be to use cash on the balance sheet to repay that, obviously we're still looking for meaningful investments across the board. So situation may change as sides to refinance that debt versus repaying it. But as we sit here right now the plan would be cash on the balance sheet.
Mike Dugan: And as far as divestment I think we -- I think it’s probably now we've been long-term investor in Inmarsat for sometime.
Arun Seshadri: Understood. Can I ask one additional follow-up? And that is at the time you made the investment or at least was public knowledge, did the lower trading levels of, I guess, EchoStar's stock at the time the bid was out there, was that an influence at all in terms of thought process? And then in terms of like the discussion with Inmarsat, how deep did it go? In other words, was there a lot of back and forth? Or was it just sort of -- it just stopped with the offer made and that was that?
Charlie Ergen: I think at EchoStar we were really challenged in a sense that obviously our multiple EchoStar's is much lower than the multiple of Inmarsat. So, because EchoStar stock was in our at least initial bid that was challenging for us to be too much higher and the other challenging part was the semi poison pill nature of the converts where you the higher you -- more you pay the more premium you paid for that figure piece of paper. So I think the offer was $7 for Inmarsat. There was about another I think my recollection was something in the neighborhood of $0.70 real offer was around the way we look at it was more like $7.70 it's just that $0.70 went to the convert holders not to the stockholders of Inmarsat. So again, in total it was over 50% premium. But they have a capital structure that’s not -- that was problematic from our perspective. And there wasn’t a lot of discussion based on UK takeover laws and what they allow you to do due diligence you don't really have much discussion. So we don't really have -- we had the same information as Inmarsat as people on this call do. We've just known the company for a long time and think highly of them.
Operator: Your next question comes from the line of Walter Piecyk from BTIG. Sir, you may ask your question.
Walter Piecyk: Thanks, Charlie what was the catalyst for Inmarsat? Was it just -- did you know the company known for a while was the catalyst just the stock price was very low and you just looked like a very inexpensive asset to grab obviously you have the synergies and all that you have known about for years. But what was the catalyst for the offer?
Charlie Ergen: There is always been those kind of synergies, so we looked at the company over years but obviously the catalyst was that we believe that there was more value than the market was giving, more value in conjunction with EchoStar than the marketplace was giving to the company. So obviously at least where we are today the marketplace is taking a fresh look at Inmarsat and seeing some of the value that we saw there. So maybe the marketplace got a little too negative on the company and they may be articulated and done a better job of articulating where they have gone. When we talked it was a fair -- more synergies than people thought by putting the companies together. And that’s another thing. The other impetus was that I do think scale matters in the satellite business and I think that virtually every operator out there today is subscale. And so if there's an opportunity for like-minded companies that have pretty good cultural fit that there is opportunities for companies to get scale and there are ton of -- there are lot of business opportunities for satellites going forward. But most companies are kind of going upward in their own directions and most of the LEO guys are LEO guys and most MEO guys are MEO and most GEO guys are GEO more small satellite guys are satellite guys or satellite guys people have different frequencies there's all kinds of IT regulations that are difficult and yet and you've got a declining you've got a decline in businesses as we knew new satellite years ago where you had the big Geo satellites with FSS frequencies that you had big video customers and that business has been in decline for a while so there is opportunity there for companies to work together to get scale to latch on to somewhere I think a lot of things in satellite that are going and I'm very positive about where satellites can go but not any one company in my opinion gets there very well by themselves including EchoStar. And so I think the board of EchoStar encouraged EchoStar that to look at different things and they continue to look at Inmarsat was one thing but there's other opportunities out there.
Walter Piecyk: You had also mentioned in an answer to the prior question that hopefully there were things you can do there is a benefit of both companies and so I assume that the way these European laws work as you don't have I mean if you are not trying to buy the company and you are trying to do something whatever JV maybe on the S band or whatever on the network side that those are that's dialogue that can continue and has that continued with Inmarsat or was that just kind of hopeful for the future.
Charlie Ergen: Again, somebody correct me if I am wrong I know we're prevented from talking Inmarsat for 180 days from when our offer was rejected or making another offer except under special circumstances, but I don't think there is anything that prevents us from talking about business, things that would benefit both companies, it's shorter but short of merger I mean it's something we’re just normal course of business where you are talking about that we should together and so. And again I think that -- I think we know the company well enough that there are probably a few things we could talk about that make sense.
Walter Piecyk: Is there any progress you've have in the regulatory front in terms of the S - band or is there anything you've learn from what they've done in the S - band that you think makes sense to try and replicate in Europe?
Anders Johnson : This is Anders Johnson, I think the two -- their path the two companies have taken in Europe are very different the network that Inmarsat has developed for deployment of their S - band is for a very narrow used case which has yet to be launched whereas the path that we've gone down is a much broader opportunity for us that allows us to develop multiple networks to ride on the platform which is really what our intention was, while we have focused on the development of the MSS activities to date and have not focused a lot on energy on the development of the CGC on the hybrid network that was the area of ground network that they have developed more heavily relies on the terrestrial component which at this point, my understanding is fully built out. So while we have certainly kept an eye on what they're doing and the status of their regulatory licenses. We haven't necessarily seen anything in there that's a lesson learned from our standpoint.
Operator: Your next question comes from the line Mr. Andrew Spinola, a private investor. Sir, you may ask your question.
Unidentified Analyst: Thank you, Charlie. There's a lot of optimism in the industry about satellites opportunity in 5G we have some people feel that satellite missed 3G and missed 4G but 5G is so complicated that satellite will play a big role and giving you have such a lower articulated vision and are building this 5G network both the narrow band and then the wide band I guess, for lack of better term. Do you agree with this will satellite be playing a bigger role in your 5G networks on the Dish side?
Charlie Ergen: Well, I guess I mean 5G is bit maybe a buzzword but certainly satellites should be on some 5G protocols just to be some scale there that's helpful. But the two big things that I think satellite, sorry three big things that satellite can do in the future including the 5G world is certainly connectivity so the internet of things if you want to connect things assets to move around the world satellites really the only economical way I think you can do that. Second, is I think that is broadband and satellite continued to improve on high throughput and I think satellite can play a major role in bringing broadband to 3 billion people who don't have access to broadband today and I think the only satellite can get you there quickly in the next decade. And then I think there's things as Pradman mentioned earlier where there is satellite back offer for cellular networks particularly in more rural areas of the world where you immediately you need to backhaul and got to need the big backhaul things like O3B make some sense and if you've got lesser needs things like the Geo satellites can make some sense. So satellites have a way to have a big part to play in how you connect the world and I think you have to have a broad view of the technologies that are necessary and again no one company is going to get all those pieces together today. At EchoStar, we have some of the pieces but not all.
Unidentified Analyst: Charlie you did mention video distribution and one of the things that we've always struggled with you on this call is trying to understand where the EESS business is going long-term. Obviously, EchoStar usually can't comment on what Dish's plans are but can you maybe help us understand what the long-term plans are for capacity on the Dish side and how that's going to translate to ESS.
Charlie Ergen: I think I would answer the question generally I think that video broadcast video which has been kind of the main stay of satellite for a long time is the declining business for satellite it's become super competitive there is excess capacity and the world of television is not going go away from broadcast, but it becomes alternative methods of terrestrial OTT that take away some of the names of satellite capacity. So that's kind of the bad news right so I think, EchoStar, we encourage EchoStar to look at that as a declining asset or declining demand asset and but on the other hand there is other things that are increasing in demand. And so you just -- you have to make your financial decisions and investments accordingly, which is why that EchoStar we're investing in high throughput satellite but I don’t believe we have a broadcast other than our construction. So and we're not, we don't have too much legacy in that area in the broadcast area. At least it hasn’t been pretty heavily depreciated and been a solid return so the key is to be on the forward edge of where satellites are going and invest in those things of where you see that the next growth phase and I think those are the things that EchoStar team look at and are well positioned for. Particularly with the balance sheet because they've got one of the strongest balance sheet in the industry, so to the extent this is opportunities in satellite communications EchoStar is very well-positioned, we probably haven't done as good -- we've looked at a lot of things right and were patient and if -- Inmarsat was just one example while it just wasn’t a meeting of minds of the two companies, but that would have been in my opinion a phenomenal merger of two good companies. So there are other things I think that EchoStar needs to focus on and take advantage of but particularly their balance sheet and their technology so not too much they are not too much legacy that's not helpful and they've got lots of technology for the future.
Unidentified Analyst: Fair enough, one last question from me. It's always been a little bit -- this question has been asked a million times from investors but it's always been a bit of a head scratcher as to why you issued debt before you actually had a transaction ready to execute and I just wanted to ask that cause obviously you have a long track record of good capital allocation being good steward of capital, people have really questioned this balance sheet for a long-time and it I think you also have a reputation for obviously being very cost-conscious as well and there's been a huge cost to carry on this balance sheet and I'm just wondering if you could maybe help us understand the thought process behind that and why you would have come there?
Charlie Ergen: It's a good question and from what you can see, I would have probably if I wasn’t on the inside I would probably have the same opinion, we issued debt because we did have a transaction in mind that was not public and ultimately didn't come to fruition and so we did have something in mind when we issued the debt and the markets took the opportunity in the markets to be prepared for that kind of transaction didn’t materialize probably in hindsight was okay that it didn’t, and then at that point we had our balance sheet was our balance sheet and we've had several other things that we try to do we just haven't been able to get done. So this isn't a management team that has been sitting still on a corporate development side but you have to have a fair valuations on both sides and lot of times you get into disagreements and it becomes that becomes regulatory issues and things that maybe you didn’t foresee and tax changes and all kinds of things that may lead one company down to the different direction. But and so yes we probably have left some money on the table from the capital structure but we have made but sometimes the best decision you make is the decision you don't decide to proceed with and we haven't made any mistakes either. It doesn’t seem to… I would challenge this team to go if there is something out there that makes sense to go find it.
Unidentified Analyst: I appreciate that, just one quick follow up on that. Not to get into who that other acquisition was but just if we are understanding your strategy, the strategy, primarily driven I mean I think we understand its value across the board, but is it primarily driven by this view that there's a big opportunity in satellite the global operators are all subscale? Or is your primary strategy in satellite driven by the underlying value in the spectrum that can be converted to threshold if you can expand on that?
Charlie Ergen: I’d say it this way that I believe satellite communications is going through a pretty fundamental paradigm shift and that paradigm shift is the fact that launch costs are much lower now which moves things like LEOs and MEOs and to a lesser degree GEOs into more economic models that years ago just didn’t make sense. So that's a big piece of where I think -- how could you structure satellite to take advantages of the LEOs and minimizes the disadvantages of LEOs and same with MEOs and GEOs and are there platforms where those things work together as opposed to separately. And obviously what digitization and connectivity there's lots of things that satellites need to do. So it's pretty complex, but there's lots of opportunity out there for a forward minding management teams who can think long-term and take some risk, that difficult for a lot of the operators because they either have challenged balance sheets so their shareholder base is more conservative or they are geographically limited or they have got a lot of legacy that they have to protect. So we don't have those disadvantages with EchoStar and its really up to us to grow the business organically which I think Pradman in particular and his team are doing and then see if there is other ways to grow inorganically. I don't know if that’s a word.
Deepak Dutt: Operator, we've probably got time for one more question.
Operator: Our last question comes from the line of Mr. Chuck Goldblum from Hurley Capital. Sir, you may ask your question.
Chuck Goldblum: So I just wanted to ask Charlie you mentioned considering EchoStar was issuing so it was going to issue stock as part of the Inmarsat proposal that they could benefit from the growth of the value? I guess the question would be here any thought on being a bit more -- I don’t want to say promotional but a bit more out there as far as what you see the value is in EchoStar and the value of the underlying stock and as much as if the stock were higher perhaps you could've offered more in the Inmarsat deal and the deal might have happened?
Charlie Ergen: Well, I’d say that I don’t think there is any downside to EchoStar spending on the street and making sure you understand the company. That's not my particular role so that’s really a question for management. But we are not promotional. We are a low-key company. We don’t spend a lot -- we spend a lot of time running the company we spend less time going to conferences and telling people about what we are going to do and we are highly disciplined and the value of the company is going to be no matter what you do whether you promote something and go up in the price for a while you are going to seek to your level at the end of the day but yes there is no question that the multiple of EchoStar is materially lower than some of the others in the business and that was a hurdle that we couldn't get over with Inmarsat. Otherwise it would become detrimental to our shareholders. So there is only so far that EchoStar could go on that bid.
Chuck Goldblum: And look I guess I understand I'm okay with you guys not being promotional generally but the point of the non-promotion perhaps hurt here and here you have a situation where EBITDA is growing great yet the stocks down or whatever it is this year there is obviously a disconnect between what's happening in the real world and what's happening at EchoStar stock. So you know there's a benefit and may be the EchoStar management wants to respond but there's a benefit in, in stepping up the promotional and promotion imply some of them but it's but do you know and it certainly is showing the value of the company on an ongoing basis to avoid missing out on value opportunities you could have had otherwise.
Charlie Ergen: I mean I think at the end of the day out I would have thought Inmarsat might have come back and said we want to more cash in stock and EchoStar might have looked at the board -- EchoStar's board might have looked at that and said that might have made some sense, so I don't think it was at the end of the day became a hurdle on things that are ultimate economics that the Inmarsat board and management believe they have as a company you know we just didn’t offer enough to -- we didn’t based on what we knew we didn't think it was worth more than we offered and they have some inside information they believe it was worth more and you know that some of those deals that's a way deals don’t happen sometimes and somebody will be proven right in the future and somebody missed an opportunity on one side or the other but doesn’t mean that we shouldn’t be still working together and looking at with them and looking at other opportunities. And EchoStar's management has to decide how much time they spend with their resources explaining I mean I would imagine most of the people on this call are fairly capable of analyzing EchoStar and what the valuation might be.
Deepak Dutt: Thank you everybody, we will really wrap-up the call. Appreciate everybody participating today. Have a great day.
Operator: This concludes today's conference call. Thank you for your participation. You man now disconnect.